Operator: Good afternoon, ladies and gentlemen, and welcome to the Clipper Realty 3Q 2021 Earnings Call. At this time, all participants have been placed on a listen-only mode, and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Larry Kreider. Sir, the floor is yours.
Larry Kreider: Thank you. Good afternoon. And thank you for joining us for the third quarter 2021 Clipper Realty, Inc. earnings conference call. Participating with me on today’s call are David Bistricer, Co-Chairman of the Board and Chief Executive Officer; and JJ Bistricer, Chief Operating Officer. Please be aware that statements made during the call that are not historical may be deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company’s 2020 annual report on Form 10-K, which is accessible at www.sec.gov and our website. As a reminder, the forward-looking statements speak only as of the date of this call, November 9, 2021, and the company undertakes no duty to update them. During the call, management may refer to certain non-GAAP financial measures, including adjusted funds from operations or AFFO; adjusted earnings before interest, taxes, depreciation and amortization or adjusted EBITDA and net operating income or NOI. Please see our press release, supplemental financial information and Form 10-Q posted today for a reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to our Co-Chairman and CEO, David Bistricer.
David Bistricer: Thank you, Larry. Good afternoon. And welcome to the third quarter 2021 earnings call for Clipper Realty. I will provide an update on our business performance, including recent highlights and milestones, as well as our company's progress as we recover from COVID-19 pandemic. I will then turn the call over to JJ who will discuss property level activity, including leasing performance. Finally, Larry will speak about our quarterly financial performance. We'll then take your questions. I begin by once again, extending our thanks to the entire Clipper Realty team, the ongoing hard work and perseverance as we progress out of the pandemic. We remain grateful for the continuum efforts and we are proud of the continued dedication to our residents, our communities and our business. Properties remained open and operational throughout the pandemic. And we see positive trends as we look forward. Residential leasing activity continues to improve at both the city and the economy in general, further strengthened from the depths of the pandemic. We expect rental demand to remain elevated and pricing to improve as New York City continues to reopen, people seek to relocate back to the city and employees increasingly returned to their offices. At the end of the third quarter, our properties with 94% leased and new leases at our properties are reaching or exceeding pre-pandemic levels, including the Tribeca House Property, where a new lease rates in October were approximately 76% – $76 per square foot, which is 9% better than pre-pandemic. Our balance sheet continues to be well positioned from a liquidity perspective. We have approximately $88 million of cash, consisting of $59 million of unrestricted cash and $29 million of restricted cash. We finance our portfolio on an asset by asset basis. Our debt is non-recourse, subject to limited standard carve-outs and non-cross-collateralization. We have no debt maturities in any of our operating properties into 2027. Recent developments, we continue to proceed with the development of our 1010 Pacific Street acquisition located in Prospect Heights, Brooklyn, about one mile from Atlantic Terminal and Barclays Center Hub. Construction is progressing on time and on budget. As previously discussed, we estimated the project to cost $85 million, take two years to complete and develop at a 6.5% stabilized cap rate. 90% of our construction contracts are signed. We entered into a $52.5 million construction loan facilities that will provide us with financing through completion. JJ will provide further update on the project shortly. As you can see in our results, our office portfolio has been recording the benefits this year of new leases until last year in New York City. The December 2020 lease at 141 Livingston Street property is adding $2.1 million to property's annual NOI and the November 2020 lease at 250 Livingston Street property is adding $5 million of annual NOI for a total of $7.1 million annually, representing an approximate 10% increase on our previous run rate. With regard to our third quarter results, we are reporting quarterly revenue of $30.6 million, NOI of $16.1 million and AFFO of $4.1 million. All of these measures are in line with the second quarter, as Larry will further detail. I will now turn over the call to JJ who will provide an update on operations.
JJ Bistricer: Thank you. I begin by again, extending our thanks to the company's employees for their continued inspiring efforts as we progress out of this unprecedented period to normality. We are grateful for the ongoing commitment to our tenants and communities. The increasing residential leasing activity that began towards the end of last year continues today. At the end of the third quarter, all our residential properties were leased in the mid to high 90s percentage range. As we anticipated last quarter, we assume improved rental demand as New York City further reopens, normal activities resume and employees potentially require an office presence. New rental rates per square foot in October are reaching or exceeding pre-pandemic levels and all exceeding present average rates. For example, new leases in October at the Tribeca House property were $76 per square foot at Flatbush Gardens $34 per square foot; and Aspen $48 per square foot. As to our Tribeca House property, as referenced in prior quarter, our pandemic strategy continues to prove itself up. Our first goal last year was to achieve high occupancy, which we have accomplished. Year-on-year leased occupancy has increased to 96.6% from 80.1%. As occupancy increased to the high 90% mark, we will then able to begin achieving higher rent per square foot levels, which have reached 76% in October, 9% higher, $76 per square foot in October, 9% higher than the pre-pandemic levels. The goal of reaching higher rent levels on average for the whole building, however, will take some time as the lower pandemic level leases work through to full-time. Revenue at Flatbush Gardens Complex in Brooklyn held up well in the third quarter level with the second quarter. Throughout the pandemic, the property maintained high occupancy, ending the quarter 93% leased. Rent per square foot was $25 per square foot at the end of the quarter and near record level. We are taking steps to increase occupancy to this directly difficult level above 95% and are presently processing numerous applications, according to regulatory requirements. As noted previously, last year, we reorganized certain operations at the property during the pandemic to manage our expense base, which has resulted in annual cost savings in excess of $800,000. Flatbush Gardens remains a key element of our portfolio and growth story. Rent collections remain strong despite the challenges of the pandemic. Our collection rate in the third quarter was 96% and uptick versus 97% at end year. We have consistently worked with our tenants on a case-by-case basis, as they notify us that they cannot meet the rent obligations due to the pandemic. And since June, we have partnered with our tenants to file for rent release under the New York Emergency Rental Assistance Program or ERAP. To-date, we have received $2.2 million under this program. We have also filed over $1 million of application under the related Landlord's Rental Assistance Program or LRAP, related to tenants who do not file for assistance on the ERAP. Although, we understand the New York is focusing their funding on smaller landlords at the current time. On the development side, we are moving well on construction at 1010 Pacific Street and are on target. We have finalized approximately 90% of our construction contracts [indiscernible] and have secured construction financing through completion with a $52.5 million construction loans. On the development in the nine-storey, 119,000 rentable square foot fully amenitized multi-family rental building with underground indoor parking. The property is expected to have 175 total units, 70% of which will be free market and 30% affordable and is eligible for 35 years 421(a) tax abatement. Looking ahead, we remain focused on optimizing occupancy, pricing and expenses across the business to best position ourselves as New York City continues its emergence from the pandemic. I will now turn the call over to Larry, who will discuss our financial results.
Larry Kreider: Thank you, JJ. For the third quarter we achieved revenues of $30.6 million virtually level with last quarter and higher than the $30 million for last year’s third quarter. For the same periods of time, we achieved NOI of $16.1 million and AFFO of $4.1 million this quarter level with the second quarter this year and improved from NOI of $14.5 million and AAFO of $2.9 million in the third quarter last year. The year-over-year revenue increase was primarily attributable to higher commercial revenue from the new office lease at the 250 Livingston Street property during the third quarter of 2020. This was partially offset by lower residential revenue at the Flatbush Gardens property from lower occupancy and at the Clover House property from lower residential rental rates offered last year to maintain occupancy. Revenue was level at the Tribeca House property as our higher leasing this year successfully recovered the lower bargain residential rates we offered. At this point, we are achieving higher rents on new residential leases that before the pandemic, although the effect will take the next few quarters to evidence itself as leases executed at lower prices – at lower rates during the pandemic through the first quarter of this year, take full term to roll off. In October, for example, at the Tribeca House property, residential rental rates were at the $76 per foot level with similar increases at our other properties as well. On the expense side, key year-over-year changes were as follows: Property operating expenses declined by $1.2 million in the third quarter year-on-year primarily driven by a decrease in apartment make-ready expenses resulting from leasing efforts last year at the Tribeca House property, a decrease in the provision for bad debts resulting primarily from the portion of the $2.2 million ERAP funds applicable to pass due amounts and a decrease in property level staffing costs resulting from realignment of operating activities last year at Flatbush Gardens. Real estate taxes and insurance increased by $0.5 million in the third quarter year-on-year and compared to the second quarter due to increased insurance costs across the portfolio. Interest expense increased by $169,000 in the third quarter year-on-year, primarily due to the refinancing at the 141 Livingston Street property in February this year. With regard to the balance sheet as David mentioned earlier, we are well positioned from a liquidity perspective. We have $88 million of cash consisting of $59 million of unrestricted cash and $29 million of restricted cash. We finance our portfolio on an asset by asset basis. Our debt is non-recourse subject to limited standard carve-outs and is not cross-collateralized. We have no debt maturities on any operating properties until 2027. Today we are announcing a dividend of $0.095 per share for the third quarter, the same amount as last quarter. The dividend will be paid on November 24 to shareholders of record on November 16. Let me now turn the call back over to David for concluding remarks.
David Bistricer: Thank you, Larry. We remain focus on efficiently operating our portfolio with the safety of our tenants and employee is our highest priority. We continue to take the necessary steps to navigate through the current challenges, supported by a strong balance sheet. We expect New York City’s recovery from the pandemic to continue, to accelerate through 2021 and beyond. We look forward to capitalizing on the growth opportunities, including the 1010 Pacific Street development and other possibilities that may present themselves. I would now like to open up the line for questions.
Operator: Thank you. [Operator Instructions] And we have a question coming from Craig Kucera from B. Riley Securities. Your line is live.
Craig Kucera: Yes. Good evening, guys. David with the city opening back up has that enhanced your ability to start making progress again on expanding your FIR Flatbush Gardens.
David Bistricer: It’s a little bit too early to tell. This new administration, as you know, coming into the city of New York. So, when that gets a little bit more flushed out, we’ll again, investigate what the appetite of the city is to work with us on that opportunity
Craig Kucera: Got it. I appreciate that. And understanding that you’ve been able to cut out, I believe about $800,000 of operating expenses at Flatbush Gardens. Were there any other items or events that occurred? Your operating expenses quarter was down considerable year-over-year and year-to-date. I’m just curious as to if there’s anything else that’s driving that?
David Bistricer: Basically, taking a stronger look at the various different expenses and driving as lean as possible. And that’s something that we continue to do on a continual basis.
Larry Kreider: Yes. And one other thing, we had our reorganization, but also as we got further leased our make ready repairs and maintenance costs have declined somewhat.
Craig Kucera: Got it. That’s helpful. One more for me. Just want to make sure I understand. You mentioned that you’re seeing new leases at or above pre-pandemic levels and gave a number of different rents. Are those rents on just newly executed leases of vacant space or is that inclusive of people that renewed?
Larry Kreider: Those are the new rents on new spaces.
Craig Kucera: New space. So do you have a sense of what the increases on renewals at this point?
Larry Kreider: Yes, we do. I think renewals though are generally at a little lower increase, but they are always at an increase. We keep them fairly modest to avoid vacancy.
Craig Kucera: Okay. Fair enough. Thanks a lot.
David Bistricer: You’re welcome.
Operator: [Operator Instructions] I’d now like to turn the floor back to David Bistricer for closing remarks.
David Bistricer: Thank you for joining us today. We look forward to speaking with you again soon. Everyone, have a good evening.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.